Operator: Good day, and welcome to Oxygen Biotherapeutics' Fourth Quarter and Fiscal Year 2014 Conference Call. At this time, all participants are in a listen-only mode. There'll be a question-and-answer session at the end. Please be advised that this call is being recorded at Oxygen's request. I'd now like to turn the call over to Nancy Hecox, Oxygen's Executive Vice President, Legal Affairs, General Counsel and Corporate Secretary. Please proceed.
Nancy Hecox: Good morning, everyone and welcome to Oxygen Biotherapeutics' fiscal year 2014 conference call. The news release with our financial results and corporate update became available at 8 a.m. Eastern Time today and can be found on our website at www.oxybiomed.com. You can also listen to our live webcast and replay of today's call on the Investor section of the website. Before we begin, let me remind you that statements made on today's call regarding matters that are not historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Examples of these forward-looking statements include, statements concerning the expected timings of the company's clinical trials, statements concerning the potential results of pre-clinical trials and future development milestones for the company's product candidates. Because such statements are subject to risks and uncertainties, actual results may differ materially from those expressed and implied by such forward-looking statements. Risks are described more fully in Oxygen's filings with the Securities and Exchange Commission. All forward-looking statements made on today's call speak only as of the date on which they were made. Oxygen Biotherapeutics undertakes no obligation to update such statements to reflect events that occur or circumstances that exist after the date on which they were made. Joining me on the call today is John Kelley, Chief Executive Officer of Oxygen Biotherapeutics who will discuss recent company highlights. Following John, Michael Jebsen, Oxygen's Chief Financial Officer will review the company's financial results for fiscal year 2014 after which we will open the call for Q&A. Now let me turn the call over to Oxygen's CEO, John Kelley.
John Kelley: Thank you, Nancy. Good morning everyone and thank you for joining us today. Before we begin, I'd like to note that we plan to make these quarterly financial results call a regular occurrence going forward. This past fiscal year has been a transformed one for the company, highlighted by the acquisition of the assets of Phyxius Pharma and bringing the North American rights with developed and commercialized levosimendan to Oxygen. Oxygen is a new company focused on critical care medicine with a late stage proven asset entering Phase III with regulatory support and a de-risk clinical profile. First of all, I do want to acknowledge the tremendous job that we've done to improve the financial situation prior to the Phyxius transaction that made that deal possible. Subsequently we raised $55 million in a secondary offering, which gives us the resources to take levosimendan through approval and the flexibility to be strategically opportunistic. The Company has been totally focused on execution in recent months putting all the elements in place to initiate the Phase III levosimendan trial. We are fortunate to be working with the largest academic research organization in the world; Duke Clinical Research Institute, which as you know has vast experience in conducting cardiovascular trials. We also have a topnotch Steering Committee in place for the Phase III rial, which including leading experts in cardiovascular surgery from both the United States and Europe. As of today, the first sites have been activated and we expect to see the first patient enrollment trial shortly. The protocol for this trial has been approved by the FDA under special protocol assessment. The FDA has also granted fast track status for the development of levosimendan to reduce morbidity and mortality in cardiac surgery patients at risk for developing Low Cardiac Output Syndrome and the agency has also indicated that one successful trial will be sufficient for approval. We will be conducting the trial at approximately 50 cardiac surgery centers in North America. We will be enrolling a total of 760 patients with an expected [read-out] (ph) of data in the first quarter of calendar year 2016. As I stated earlier, we have activated the initial sites and expect to see our first patient shortly. Once we have 200 patients enrolled and through 30-day follow-up, we will be conducting an analysis to ensure that (inaudible)the [rate] (ph) is on track. At 50% and 70% of total expected events, an analysis will be conducted to test for futility or profound efficacy. All of these interim looks will be calendar year 2015 milestone. We are very opportunistic -- optimistic regarding our Phase III evosimendan CTS trial. While there are no guarantees in any Phase of drug development, we feel that we have been able to de-risk this program based on the significant experience using levosimendan, which has been on the market since 2000 and used in over 800,000 patients. Approximately 40% of the current use of the drug in Europe is in cardiac surgery where the drug does not have that indication. That use is based on the unique clinical profile of the drug and the data from 27 published clinical trials in cardiac surgery, which demonstrate the significant benefit that levosimendan does provide. Our license agreement gives us the right to develop IV levosimendan for any indication in North America. We think there are number of exciting opportunities beyond Low Cardiac Output Syndrome where levosimendan has been researched such as septic shock, high-risk non-cardiac surgery, acute renal failure, cardiogenic shock and heart failure. All of these conditions have some commonality with Low Cardiac Output Syndrome and the mechanism of action of levosimendan suggests that it could offer important benefits in these areas of high unmet medical need. We will continue to investigate these opportunities where we can provide additional value for both patients and our shareholders. Let me just take a minute to comment on the team that is now in place at Oxygen. I've been fortunate to be joined here with few of my colleagues that were Co-Founders with me of Phyxius Pharma, the privately held company that originally obtained the rights for levosimendan in North America. Between the three of us, we have almost 100 years of pharmaceutical industry experience, many of those years working in the critical care market with a strong record of executing. I also want to recognize Gerry Proehl, who joined the Board of Oxygen in April. Gerry was recently the CEO of Santarus Incorporated, a company he founded 14 years ago and sold recently to Salix. Gerry brings a tremendous amount of industry experience to our Board and we are grateful that he has joined us. All of us are extremely pleased with the opportunity to join the team in place at Oxygen and to complete the work we began at [six years] (ph) with levosimendan. Now as you can tell from my discussion, the name Oxygen no longer fits the strategy or the focus of the company. In the next few days we will be sending out proxy statements announcing our Annual Shareholders Meeting to be held on September 11, 2014. In addition to the regular business of electing a slate of Directors, we will be asking our shareholders to approve the new name for the company, Tenax Therapeutics Incorporated. Tenax is the Latin word for tenacious. It is a trait that we have demonstrated in bringing the levosimendan program to the start of Phase III and it is the trait that this company will demonstrate on executing this strategy of developing and commercializing drugs for the critical care market. Now, let me turn the call over to our Chief Financial Officer, Michael Jebsen. Michael?
Michael Jebsen: Thanks John. We reported net revenue of $159,000 for the year ended April 30, 2014, compared to $1.2 million in the prior year. The decrease in net revenue was due primarily to the reduction of direct cost reimbursements for work performed under our pre-clinical Oxycyte studies, which were funded by the U.S. Army. Early in the last fiscal year we completed the majority of the associated studies, which led to the submission of safety data to the FDA and ultimately their decision to release the clinical hold on Oxycyte. Total operating expenses for the year ended April 30, 2014, were $16.7 million compared to $6.4 million in the prior year. General and administrative costs increased $10.1 million and research and development cost increased $500,000 due to increases in personnel, legal, and professional fees and the cost associated with initiating the Phase III clinical trial for levosimendan. General and administrative expenses for the year ended April 30, 2014, were $13.8 million compared to $3.7 million in the prior year. This increase was due primarily to the expense recognition of approximately $8 million for the granting and vesting of stock options and restricted stock as well as an increase in overall salaries and performance bonuses paid in the current year. Headcount increased with the addition of John Kelley, our CEO and two other executives that were brought in from Phyxius Pharma following the acquisition of the license for levosimendan. Legal and professional fees increased approximately $550,000 due to the legal banking and accounting fees related to the Phyxius acquisition and cost incurred for external Investor Relation services. Research and development expenses for the year ended April 30, 2014, were $3 million compared to $2.5 million in the prior year. The increase in research and development expenses was due primarily to increase in personnel, consulting and clinical development cost. The increase in cost for initiating the Phase III LEVO-CTS study as well as continuing with enrollment of Phase IIb STOP-TBI study were partially offset by a reduction of almost $500,000 in cost incurred for the pre-clinical safety studies for Oxygen or for Oxycyte compared to the prior year. For the year ended April 30, 2014, we reported a net loss of $19.5 million or $2.71 per share compared to a net loss of $9.4 million or $6.29 per share in the prior year. Included in the current year net loss is approximately $3 million of non-cash charges for the amortization of interest expense on convertible notes and a loss recorded for the change in fair value of our outstanding warrant liabilities. We ended the year with cash and cash equivalents totaling $58.3 million compared to $800,000 at April 30, 2013. The increase in cash reflects several transactions during the fiscal year including the proceeds from the March 2014, $59 million public offering of common stock proceeds from the July 2013, $5.4 million public offering of Series C Preferred Stock and Warrants, and the exercise of certain outstanding warrants throughout the year for proceeds of $7 million. Overall in 2014 we significantly expanded our product portfolio with the licensing of levosimendan. We strengthened our management team with the addition of John Kelley as our CEO and two other key appointments in research and development and commercial organization. With the completion of our $59 million offering in March, we solidified our balance sheet and our now well positioned with sufficient funds to complete our Phase III LEVO-CTS trial and carry the program to a potential approval. Our clinical execution and efficient use of capital would give us the flexibility to evaluate strategic opportunities for growth including potential additional indications for levosimendan. Looking forward into fiscal year 2015, we anticipate an operating loss of approximately $15 million as we execute the strategy John discussed earlier in the call. We expect G&A cost to be approximately $5 million with a significant increase to approximately $10 million in R&D spending as we aggressively activate sites and enroll patients in the LEVO-CTS Phase III study. With that, I'll turn the call back over to the operator for Q&A.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. (Operator Instructions) Our first question today is coming from Jeffrey Cohen from Ladenburg Thalmann. Please proceed with your question.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Hi, thanks, good morning. Thanks for taking my questions.
Michael Jebsen: Hi Jeff.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: How you're doing? The K is not up yet, so just a couple of questions on that. What was the number of shares that you used for the full year in Q4 Michael? Do you have that handy?
Michael Jebsen: I'm sorry Jeff, what was that question.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: The share count that was used for the fourth quarter and the full year?
Michael Jebsen: As of July 24, we had 28,107,206 shares outstanding.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Okay. And do you know what the average was used for full year in the calculation.
Michael Jebsen: For full year, the weighted average was 9,362,031.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Okay. And it looks like the loss -- so the loss was $19.5 million, so the fourth quarter loss would have been $13.8 million and what was that for the two line items, SG&A and R&D?
Michael Jebsen: The majority of that would have been the recognition of approximately $8 million for the granting and vesting of stock options that were issued in accordance with the asset purchase agreement with Phyxius Pharma.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Perfect. Got it. And you're changing your name in the next few days, how are you spelling that, Tenax?
Michael Jebsen: Well actually Jeff, we will ask for shareholder approval to change that name on September 11. And yes, it's spelled T-E-N-A-X.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Tenax Therapeutics Incorporated.
Michael Jebsen: Correct.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Okay. As far as the sites and enrollment date, so John you said, sites have been activated, could you give us an indication of how many?
John Kelley: As of today, two sites will be in a position to begin enrolling and with another two coming on Board, probably within the next couple of days.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Okay. And do you anticipate the first enrollee in a matter in the short term or the immediate term?
John Kelley: No, I think that the sites that are activated, they have everything in place to begin enrolling patient. So it really is a matter of what they have scheduled. We have not seen any surgery scheduled yet, but we will be checking on that, but it should be shortly.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Okay. Will that be [AKA when] (ph) this first enrollee?
John Kelley: We will let you know.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Okay. And are we going to find out any of the site names or that will become apparent at some point on the Clinical Trials website?
John Kelley: It will certainly become apparent on Clinical Trials website as we have them activated and they begin to enroll.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Okay. And just a little bit on the financials for next year, I guess Michael you mentioned approximately $15 million total spend, which is comprised of approximately $5 million G&A and $10 million R&D, is that right?
Michael Jebsen: Correct.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: And how might that look throughout the year? Will that be kind of linear ramp?
Michael Jebsen: It's not going to be linear. As the site start to come on Board in probably in our second fiscal quarter, you will start to see growth in the R&D spend and that growth will continue quarter-over-quarter as we get through the -- towards the end of the fiscal year and get up to our full 50 sites enrolling and patients coming through.
Jeffrey Cohen - Ladenburg Thalmann & Co., Inc.: Got it. Okay. That does it for me. Thanks a lot guys.
Michael Jebsen: Thanks Jeff.
Operator: Thank you. (Operator Instructions) Our next question is coming [William Lap] (ph) a private investor. Please proceed with your questions.
Unidentified Analyst: Good morning. So could you comment on what's going to happen to the Oxygen product and what you are doing with that? Then you just talk about the new acquisition products but all the money that's been spent on that what's the forecast and what are you going to do with this product that you have spent all this money on?
Michael Jebsen: First of all, hi Bill, it's been long time since we've spoken, this is Michael Jebsen.
Unidentified Analyst: Hi Mike, how're you?
Michael Jebsen: I'm doing well. Thank you. We are currently and continuing to enroll in the Phase IIb STOP-TBI trials with Oxycyte. As we mentioned earlier in the call, we wrapped up the pre-clinical safety studies and submitted that data to the FDA and subsequently got the clinical hold release from the FDA on future development of Oxycyte. Where we stand with the program today, we are still evaluating potential expansion throughout Europe. We are putting together additional submission for the FDA so that we can clarify what the development pathway for the drug looks like in the United States. We continue to support our research and development agreements with the Army and Navy as they look at other indications as well as our partnership with Aurum Biosciences, the company in Scotland that's using Oxycyte not only as a diagnostic but also as a potential therapeutic benefit for Acute Ischemic Stroke.
Unidentified Analyst: And what about Israel; are those tests still going on?
Michael Jebsen: Yeah. That Phase IIb study, the sites in Israel and Switzerland are still ongoing.
Unidentified Analyst: But is there going to be -- have you funds allocated for it. It's not going to be -- the high program is primary but you do intend to spend money and to pursue them and I take it correct depending on if you get clarity from the FDA?
Michael Jebsen: Yeah. We are continuing down the strategy as it existed prior to acquisition with Oxycyte. There have been no changes at this point as it relates to as that development program.
Unidentified Analyst: Okay. It doesn't seem to be even mentioned in your key presentation that…
Michael Jebsen: The focus of John's presentation is where the majority of our resources for the financial and managerial are going to be and that is getting this Phase III trial initiated up and running. Get the sites activated and get on pace to complete this Phase III trial in the budgeted time period and under the budgeted cost and that is the story of our...
Unidentified Analyst: But if the results are good and you get some -- you would divert resources for that also right. You're not going to -- correct for the Oxy?
Michael Jebsen: We continue to evaluate Oxycyte, no differently than we did in prior years.
Unidentified Analyst: Okay.
Michael Jebsen:
Unidentified Analyst: So how much do you have budgeted for that Michael?
Michael Jebsen: That goes a long way. We spend about $1.5 million to $2 million a year maintaining that trial.
Unidentified Analyst: Okay. All right. Thank you.
Operator: Thank you for your questions. I will now turn the call over to Mr. John Kelley for closing remarks.
John Kelley: All right Kevin, thank you. And I want to thank everyone for joining us today. As I said earlier, this is sort of a continuing quarterly update on how we're tracking here at soon to be Tenax Therapeutics. I want to thank you for your participation. And wish everyone a great day. You can disconnect now. Thank you.
Operator: Ladies and gentlemen, that does conclude today's teleconference. Thank you once again for your participation today. You may now disconnect your lines. Everyone have a great day.